Geoff Raskin: Good afternoon, everyone, and thank you for joining us today. I'm Geoff Raskin from Investor Relations. I'm pleased to have Gustavo, our CEO; and Geert Peeters, our new CFO, with us today to present the full year and Q4 results. Now before that, let me remind you of the safe harbor regarding forward-looking statements, I will not read it out loud, but I will assume you will have duly noted it. You are well aware that since 2022, our P&L is based on continuing operations, which consists of our core markets activities only. The emerging markets are reported as discontinued operations, and while in the process of being gradually divested, they do still contribute to total debt and cash flow figures. Regarding cash flow, please note that we changed our definitions of reported cash flow, which used to be free cash flow before financing to free cash flow after financing or free cash flow to equity. With that cleared up, Gustavo, over to you.
Gustavo Calvo Paz: Thanks, Geoff. I'm delighted to be here with Geert Peeters, our new CFO. By now, I have a complete team in place to deliver on our strategy. They have a tremendous amount of experience and complementary skills and are highly energized with no hesitation and can't dream of a better team. Now turning on to encouraging set of numbers for 2023 that we published this morning. This confirms that we are well on the way to restoring Ontex's financial health, notably with a positive earnings per share and free cash flow. Of course, there is still more to do. Yet in 2023, we crossed a significant milestone on our cash flow generation, allow us -- allowing us to accelerate our investments. Let's move to the Page 4 now. A year ago, I shared with you a series of activities on which we would focus such as decomplexification, value innovation, operational efficiencies, focusing core selected growth categories, divestments, et cetera. These are all critical to execute the transformation of Ontex and driving cash flow and balance sheet improvement. This slide is showing the result of the focus and hard work that Ontex team has done. A 10% like-for-like growth top line to the high-end of our year ago expectations for 2023. A 10% EBITDA margin also to the high-end of our expectations, which allow us to return to a positive earnings per share. And a strong turnaround of cash and leverage critical to restoring financial strength, deleveraging a positive €9 million of free cash flow and deleveraging down to 3.3x at group level. On the next page, I will elaborate more on these strong results. 9 out of 10 percentage point like-for-like growth came from pricing as a result of our strong pricing management throughout the last years, with peaks and downfall drops in commodity prices. In this context, we have maintained total volume stable, yet based on our focused strategy, we have achieved a double-digit volume growth in selected categories in Europe and have established a solid growth platform with retailers in North America. Moving to Slide 6. As you all know, we took a hit in 2022 with an unprecedented input cost inflation impacting the industry significantly and bringing our margins of core markets down to 6.2% in orange in the chart -- in the chart. Mid-2022, we managed to turn the corner Today, for 6 consecutive quarters, we are very pleased to report sequential improvement of adjusted EBITDA as seen in the blue bars, driving margin up to 10%. Pricing was a key driver, allowing to partially compensate for the additional cost inflation over the last 2 years. The structural drivers behind this recovery are the volume mix improvement and the strong delivery on our cost transformation program, which leads me to the next slide. In green, the gross savings we delivered for the -- from the cost transformation program, achieving €72 million in 2023. This includes continuous improvement measured on OE and scrap level in the plants. It also reflects the ongoing decomplexification and asset harmonization efforts with a strong contribution from our procurement team, having selected qualified and negotiated alternative raw material sources. Last but not least, it also includes the continued efforts we are taking to optimize our overall footprint and logistics. This is truly structurally -- a structural high impact efforts require a strong team execution and high level of investments, which you can see on the next Slide 8. Our business expansion initiatives and our cost transformation program require higher investments, up to a level of €96 million, mostly in our core markets. The orange line illustrates the CapEx intensity in our core markets with more than 5% in 2023. While this is a large number, we strongly believe in the returns that these investments are delivering. Importantly, is that we are able to self-fund these investments, while still generating positive free cash flow and while strengthening our balance sheet as it can be seen on the next Slide 9. In green, the net financial debt of the total group, which we brought down to €665 million during 2023, mainly resulting from the successful divestment of the Mexican business. Improving EBITDA is the key to reducing Ontex leverage. The growth in our EBITDA in '23 nearly helped our leverage to 3.3x, down from 6.4x at the end of last year. Critical business levers, such as returning to positive cash flow and improving balance sheet are on the path to the levels we aspire to. With this, I leave it to Geert for details on the financial review.
Geert Peeters: Thanks a lot, Gustavo. First of all, good afternoon, everyone. I'm really excited to have started Ontex on the 1st of December, and I absolutely love the good work and passion in the team together with Gustavo. A little bit of my background. I started in PriceWaterhouseCoopers being a Senior Manager in Corporate Finance and Business Transformation teams. And then afterwards, I worked in 3 large and fast-changing corporations as a CFO. My last assignment was in Greenyard. It's #2 in the worldwide in fruit and veg. And like Ontex, it's also listed in Belgium. It is a European, U.S. footprint and has a focus on retail as main customers. And we were also very successful in making a transformation. I feel really blessed today to be able to present the strong Ontex figures of '23. All figures moved significantly into the positive direction. Let's have a look at the first financial slide on revenue. On this slide, you will find on the top of the revenue bridge for the full year at the bottom the quarter 4, it's each time for continuing operations, so that means the core markets. As you see on the top, it shows respectively, a 10% like-for-like growth for the year. And at the bottom, you'll see a stable revenue evolution over the first quarter. As Gustavo pointed out already, price was the main revenue driver with an impact of 9% on the full year. Quarter-on-quarter in '23, prices were up in the first half and started to gradually decrease in the second half of the year, in line with the lower raw material prices. But year-on-year, we were still up in the fourth quarter by 3%. As to volumes, the overall markets in Europe and North America were down with only Adult Care still growing. But if we look at the retailer brands, however, those gained market share. Indeed, consumers, they are looking for better value for money as inflation impacted their purchase power, and this is not yet the case in North America. Full year was stable overall, we grew double-digits in selected categories, resulting in a positive mix impact. In quarter 4 volumes were lower, but actually, we did not lose any market share or any customers. It's mainly a timing impact. The timing impact because there was some prebuying of a U.S. customer at the end of '22. And in -- at the end of '23, there was a low promotional activity in Europe. So we are confident that the coming months, this will recover. Definitely from last year, ForEx had a negative impact, and it's because of several currencies. It's devaluations on the U.S. dollar, the Australian dollar, British pound and the Russian ruble. How does this translate in EBITDA, which you'll find on the Slide 12. Again, it's -- the core markets was on top for the full year and at the bottom quarter four. Full year, the adjusted EBITDA rose from €104 million to €174 million or an impressive 67% growth. In the left, the yellow box, you will find what drives our EBITDA up and mainly the cost transformation program that was already mentioned by Gustavo, with a second year in a row where we delivered savings of around 5% of the operating cost base. You'll also notice a positive mix impact showing for the full year. In the right brown box, you will see how we manage the prices. And this is almost fully offsetting the increase of raw materials, the inflation on the operating costs and SG&A, but also the adverse ForEx. As raw materials year-on-year increase is mainly due to higher fluff prices and to a lesser extent also SAP in the year. As prices gradually came down throughout the year, we have, for the first time in a long, a positive effect in Q4, but not enough to offset fully for the continued inflation of other operating costs and SG&A. As to ForEx, of course, we first have the revenue impacts of the currencies I already mentioned before. On top, we had the Mexican peso that rose costs up in our Tijuana plant in the West of the U.S. and the U.S. dollar, including the hedging at a slight negative impact on the results. Let me now present how that adjusted EBITDA €174 million translates to bottom line positive net results, because actually, we achieved indeed a positive profit for the period of €35 million, per share it's €0.43. This reflects the profit recovery, but remember also that last year, the result included large impairments taken on goodwill and assets. So we clearly turned the page. How did we get there? Let me explain line by line. First, the depreciation, they remained around €15 million, in line with last year despite stepping up the investments. Secondly, we have some adjustments. They're all non-recurring of nature, about €50 million, all related to optimizing the European footprint and the product portfolio, and it includes a €5 million non-cash impairment. Thirdly, we have the finance costs. As you will see in the table, they decreased with €5 million to €45 million, despite interest that's increased. But of course, we are protected by our fixed rate bonds and our interest declined because of the lower indebtedness due to lowering the leverage ratio. Fourth, we have the tax cost. Also the tax cost decreased to €16 million. It represents an effective tax rate of 38%, which is, of course, the mix of the different geographies in which we are active. And we were still very conservative in the treatment of our deferred tax assets. And then last but not least, we have the discontinued operations. It's our emerging markets. They contributed €8 million, and in that €8 million, we also still have some divestments related costs and impairments of €27 million and there's also some hyperinflation in Turkey, costing €8 million. So if we correct for those impairments in the hyperinflation, you'll notice that the emerging markets really had very strong results. Moving then to the cash. The Slide 14 shows how we generated €9 million of positive free cash flow, and that's with the generation as Geoff said, including the debt service, including the interest. The starting base is €223 million of adjusted EBITDA, that's the adjusted EBITDA for the total group that includes all the emerging markets, but also 4 months of Mexico, which is in the meantime divested. I want to highlight some important components in that cash flow build up. First of all, we invested €36 million in working capital. The latter increased due to inflation, of course, but at the same time, we use lower factoring. Further, I can confirm that as the management, we're very focused on working capital improvements, but at the same time, implementing the transformation also leads to temporary inefficiencies, for example, inventories The largest block, you'll find in the cash buildup is the investments with €121 million, including the €25 million of leasing and Gustavo explained already and will further explain on our plans of investments in the [Technical Difficulty]. And then we have tax and finance costs just in line with the P&L items. Non-recurring, we had some non-cash impacts, so what was left was €18 million in our free cash flow. And then the last financial slide is on the net financial debt. The net financial debt on Page 15 came down by 23% to a level of €665 million. This brought our leverage ratio to a safe 3.3x from 6.4x last year. So it's quite clear with the 3.3x we were well within the leverage maintenance governance. The deleveraging was achieved, of course, first of all, due to the free cash flow of €9 million, but also because of the disposal proceeds for €220 million, which are mainly related to Mexico. These proceeds include all the transaction costs, also working capital closing accounts that were settled at the end of '23. And we still have a deferred receivable coming in the future, which you'll find on the balance sheet for about €30 million. If we then look to the gross debt, the gross debt ended up €834 million and is composed of 3 elements. We have, of course, a fixed rate bond for €575 million. We have leasings for €133 million and RCF was only partially drawn for €115 million. The term loan is not there anymore, the €220 million, that's repaid mid-'23. The difference between the gross and the net debt is the cash, of course, it's €168 million. And together with the part of the RCF, which has not been grown, it's €155 million. So an amount of far above the €200 million is a nice liquidity buffer for Ontex. Now I will pass the word back to Gustavo, who will tell a bit more about the outlook for this year.
Gustavo Calvo Paz : Thank you, Geert. Before getting into the details of the outlook, let me share with you a broader picture of what we are directing our energy on and how it fits within the 3 year transformation plan of Ontex that we started to deploy when I joined Ontex a bit more than a year ago. At that time, I mentioned that my mandate is to accelerate the execution of our existing strategy not to change it. The next page is a refresh of that. Our focus is fully put on our core markets while investing our branded business in emerging markets. We aim for solid leadership in Europe and North America. We are the largest worldwide player today, already strongly positioned in Europe and building scale in North America. We established solid partnerships with our retail and healthcare customers by providing high-quality affordable hygiene products in baby, famine and adult care. On next slide, the execution of our strategy is based on 3 value creation drivers. The first one, business expansion. We ambition to grow share in selected categories in which we have a strong competitive advantage and bring higher value for our customers. In these categories, we aim to drive high single-digit top line growth in Europe. In North America, our greater source of future business expansion, we plan for a double-digit top line growth. First, by gaining market share in retail brands, leveraging our unique selling proposition coming from our experience in Europe. Secondly, by partnering with our customers to build and grow their own retail brands in North America market, where this have a significant potential. The second value creation driver is competitive and sustainable innovation. We want to be recognized as the fastest provider of a brand equivalents to our retail customers, while also developing more sustainable products. And the third value creation driver is low-cost best-in-class operations. We aim to deliver operational efficiencies and services excellent across end-to-end supply chain. A major enabler for this is the overall decomplexification of our operations, including harmonization of product, platforms and equipment. Turning now to Slide 19. Let me give you a real example of how these drivers complement each other. DreamShield is a back pocket for improved leakage protection on our baby pants that we developed in 2023. We -- by combining it with other improvements on our product design, we reduced carbon emissions by 5% per unit. DreamShield is a fast follow innovation of a feature recently launched by a large A brand player. This innovation boost our competitiveness in baby pants, one of our selected categories and can be a game changer to strengthen the attractiveness of retailer brands on the shelf. As we plan to equip all our baby pants lines in Europe over the coming months, we will be able to roll out this innovation at the scale and harmonize our portfolio of product platforms and reduce complexity in our operations. Harmonizing our product platforms also allow us to reduce complexity in the portfolio of finished products and raw materials, meaning less changeover, higher runability, higher output per line. All these actions are structurally changes in our way of working and partnering with our customers and suppliers. Unlocking these value creation drivers require investments, which brings me to the next slide. In 2023 -- 2023 was our first of our 3 year plan journey, in which we need to accelerate the level of investments in order to achieve our aspirations. Business expansion and best-in-class operation value creation drivers will be boosted by a top-up investment throughout the period. While we realize that these investments are temporarily exceeding run rate depreciation, they come with healthy returns, driving growth and higher margins. But let me assure you that raising the level of these investments will not come at the expense of cash value creation and further reduction in leverage ratio, because we will self-fund our investments by increasing our cash flow generation. What does this mean for 2024, let's move to the Page 21. In our core markets, we expect revenue to grow by low single-digit like-for-like, supported by strong double-digit like-for-like growth in North America. Prices will be actively managed in function of input costs and market dynamics. The adjusted EBITDA margin is anticipated to improve further to between 11% to 12%, fueled by continued delivery of our cost transformation program. Free cash flow for the total group is expected to improve from the €9 million in '23, while further accelerating the group's transformation and with investments in our core markets of 6% revenue. We expect to be able to announce further progress on the divestment of the remaining discontinued emerging market activities in the coming months. Meanwhile, these are foreseen to contribute positively to adjusted EBITDA and free cash flow. As a result, our leverage ratio is anticipated to reduce further to below 3x by year-end, giving us comfortable headroom on the governance. Now Geert and I will now be available for the Q&A session.
Geoff Raskin: Before handing over to the operator, could I ask you to state your name and firm and limit your questions to 2. I repeat 2. If time allows, we'll do a second round for additional questions and if not, feel free to get in touch with Investor Relations afterwards. Operator, over to you.
Operator: [Operator Instructions] Our first question comes from line of Charles Eden from UBS.
Charles Eden : I'll keep myself to two. So firstly, on the North American business, the strong double-digit like-for-like sales growth that you're targeting for 2024 is very impressive. Can you help us understand what's driving that optimism? Have you signed a significant contract with a large retailer in the region? Or is there another explanation that you could share? Also, can you talk a little bit about your ambitions for this business, this region over the medium-term? Where do you think North America could get to as a percentage of core market sales, say, in 5 years' time or any other time horizon, you feel is appropriate versus the 10% to 15% of core market sales it represents today? That's my first question. And then second question, just on credit rating and the agencies. Can you remind us your current ratings here? Are you in constant dialogue with the providers to try and get them to revisit their ratings and outlooks for Ontex? You've got the leverage down to 3x, you're guiding to below 3x for '24, which I'm -- if I'm doing my math correctly, it's likely to be closer to 2.5x and 3x in '24, given the guidance you provided this morning. So things certainly move in the right direction, but how much scope is there for you to expediate a change on the ratings? Was it simply a waiting game for you?
Gustavo Calvo Paz : All right. Thank you, Charles, for the questions. I'm going to take the first one on the North America, and Geert will take the second one. As I've been saying, we have made significant changes in our team in U.S. And since that, we have been able to really have a more important approach with customers, meeting with them and discussing strategic ways to grow, not just our business but their own retail brand business. Our strong -- 2024 is a strong double-digit growth that we are forecasting and it's based on, I would say, already aligned business with new customers in the retail environment, Dollar Tree, Dollar family and some others, which I -- perhaps I would not disclose all of them due to competitive reasons. But yes, we have aligned already and that strong growth, double-digit strong growth that we're expecting for next year -- for this year, sorry, '24, we feel very, very comfortable. The -- your question about our ambition. Our ambition is very, very big in U.S. I have my team here that they will kill me if I express my ambitions totally. But our ambition is quite big, because the opportunities in U.S. market is huge, not just from us gaining share within the existing retail market. But from us using our expertise that we have developed for many, many years in Europe, helping retail markets in U.S. developing their own retail market and the excitement between them and us is huge, I can tell you. And we are investing behind that, creating more capacity for them to feel assured that we will supply them. So big ambitions there. Geert?
Geert Peeters: All right. Charles, for the second question on the ratings. First of all, the current ratings are very similar [Indiscernible] S&P, we are at B, and Moody's we are at B3. We strongly believe that there is some headroom to go up for us. So we hope they share our enthusiasm on the results. What we will do, of course, is in the coming weeks to have contacts with them to further explain the results and to see whether they have any concerns. But I think here from a CFO point of view, if you look on how the company has been derisked with these results and with the outlook we have as compared what it was 1 and 2 years ago. I think there should be really potential to move up. Of course, all know that rating agencies, they take some time to do that. So yes, we're also realistic. I think the potential is there, and we will work together with them to go there.
Charles Eden : That's very clear. And sorry to push you, Gustavo, when you say very big ambitions on North America, could that business be half the size of the European business, the same size? How big could that be, just sort of ballpark numbers? Just want to understand where that business go.
Gustavo Calvo Paz: Yes. So look, if we think on being – on having – to getting closer to our fair share in U.S. and think opportunities on the U.S. market to grow, that business for us could represent €1 billion in 5 years.
Operator: The next question comes from the line of Wim Hoste from KBCS.
Wim Hoste: Yes. Wim Hoste, KBC Securities. A couple of questions also from my side. Maybe first on the CapEx plans for the coming years. You will now step up CapEx to above 6% of core revenue in '24. And that's also the rates we should assume for '25 and beyond. And then can you maybe also be a bit more specific on what the investments will include? Is it mainly capacity expansions for like products like baby pants and others? Or is it -- yes, mainly the modernization of old factories? Can you maybe help us understand what the increased CapEx is about? And then the second question would be, again, coming back on North America versus Europe. Can you also share the light about current profitability of Europe versus North America? Where do you see the biggest upside in terms of margins in this year given the guidance that there isn't also in the coming years? And then the third question would be an update on the divestments. Yes, how much interest do you see from financial parties? Is it from trade buyers? Is it -- and also, what kind of value do you believe you can extract, I think book value is €960 million do you see any risk of having to take impairments on that? Can you maybe also give some comments on that? Those were the questions.
Gustavo Calvo Paz: I'm going to start -- I'm going to try to keep all your questions in my head. So the first one, which is related to the CapEx plan, yes, you're right, our investments are going to raise. And as I mentioned, we have a 3 years planned period of time in which we are going to be adding capacity, so for business expansion and investment also behind efficiencies in our operations. So it would be -- when you were asking the question, I would be almost all what you expressed, which is capacity and you call it modernization, these efficiencies and harmonization of our asset base in Europe, much more specific in Europe. So yes, our investment is going to -- they're going to be in a high level of investment in these 3 years period of time. Regarding the profitability, we don't disclose exactly that, but let me tell you this, let me explain this. Europe is a much more mature market, right, in terms of -- we have a solid -- a very solid leadership in Europe, and the scale is in our hands. So today, what we are doing in Europe is bringing efficiencies by harmonizing our technology and updating the technology to be more with a -- to be capable or enabler to -- for the next innovations to come. However, in North America, we are building a scale. And I'm sure that you are aware, North America is a big market. You need the scale, but we are going -- we are progressing on this scale year-by-year. And as the scale is growing, profitability is growing. So it is the full 3 years plan, and we are now being in that middle of the plan, so yes. In terms of the divestments that you asked, we're in the process, we are very enthusiastic, because the companies are delivering EBITDA and free cash flow. So they are very positive. So they are working very good. We have strong teams in place, and we are in the process of that. You ask a question that is very -- at this moment is sensitive because we are in the process, so it would be very difficult for me [Technical Difficulty] the question, so I apologize for not being able, but you would understand that it will disrupt the process in which we are today. But I can tell you that the 2 businesses -- the 3 businesses that both -- every business that we have in the emerging markets today, they are delivering good EBITDA and good cash flow. So that is our positives there.
Geert Peeters: And perhaps one small addition because you asked Wim about impairments as all impairments have been taken and the position has been reviewed with [Indiscernible] so we don't -- based on the nice results we have now and the progress, there are no -- nothing foreseen from an impairment point of view.
Operator: The next question comes from the line of [Indiscernible] from Verizon Capital.
Unidentified Analyst: Two questions. Regarding CapEx, as it's been elevated, what sort of payback do you expect? And the second question is regarding North America. Can you be a little bit more precise as perhaps give us some sort of range or an indication? Is it above 20%? Is it 20% to 30%?
Gustavo Calvo Paz: Right. So the – on the CapEx, I can – our way to measure our investments today, we have a rule definitely that is a payback of lower than a 3 years payback on our investments in all investments perspective, lower than a 3 years payback. And in terms of U.S. North America growth for 2024, if I have to give you a range on today on our forecast for ‘24, it would be between 20% to – 30% to 40% growth.
Operator: The next question comes from the line of Karel Zoete from Kepler Cheuvreux.
Karel Zoete : I have 2 questions. The first one is on what you're seeing in the European market today in terms of price volume dynamics, what can we anticipate? And that's the first question. The other one is on cash flow. Happy to see that factoring came down by €28 million. Is that something we should anticipate to continue going forward? And then what's still the outstanding factoring in the books?
Gustavo Calvo Paz: I'm going to take the first question, Karel, and leave the factoring to Geert. The European market today on the price volume. So it's evolving -- the entire market is a little bit down, while at the same time, retail brand in our categories are growing, signaling very clear that the consumers are looking for more value for money products. And also, it's a result of continued improvement in the performance in the retail brand business. In terms of what to expect in volume, we are expecting volume in selected categories for us. We are expecting volume to grow in selected categories where we really have a good competitive position, and we want -- because we want to win volume there and continue growing market share as it is a trendy type of category and value -- good value for the customers. In terms of the pricing, well, we are in -- we are since, I would say, initial for or between the last days of the quarter 3 of '23, we continue in a price decline momentum, how long it will last due to the price decline in terms of the raw materials price decline. So it is expected to volume growth, but not pricing, not pricing for us growth, we are not expecting pricing growth, significant pricing growth next year.
Geert Peeters: And then the second question, Karel, on the cash flow and more specifically on the factoring, first to explain about '23 how to look at the factoring. First of all, for us, looking at cash conversion cycle, it's very important, it's part of all our management's objectives. So that means also [Technical Difficulty] that means in all the discussions we have with retail, it's not only about pricing mechanisms, but it's also to be paid in time. So that's something that will continue over the coming year. And of course, if we can bring our DSO down, it helps also the factoring. Second consideration is a factoring itself. We look in our -- yes, in our financing, of course, what is the cost of all the finance instruments we're using. So we also, from that point of view, take factoring into account and we believe because prices of factoring increased a lot because of the increased EURIBOR, that's another consideration. If we look to '24 because you want me to be more explicit on what will be the factoring, I would assume that it will be more or less in line with what we have now. I think that would be a good estimate.
Karel Zoete : Okay. And Geert just to be sure, if you think about capital allocation going forward, reducing factories is not like an important thing. It's based on...
Geert Peeters: It’s a good efficient instrument to finance your receivables, so that will continue to be. But as I say, we try to reduce the DSO, we will always take the costs into account and consider all that together.
Operator: The next question comes from the line of Markus Schmitt from ODDO BHF Corporate & Markets.
Markus Schmitt: It's from the credit side, actually. I have 2 questions. First one, if you could please comment on your input costs and how do you expect some trending in '24, particularly fluff, which I understand is rising again. So in other words, to what supply demand duration and positive or negative trends do you see in fluff acrylic acid, caustic soda and nonwoven fiber fabrics for instance? And the second question is on the adjusted EBITDA margin improvement. I think you guided for 180 basis points improvement at the midpoint for 2024. And the question is, if you could break that down into components. So what is coming from volumes, pricing, raw materials and OpEx, and OpEx savings from today's point of view. OpEx is about clear when you aim again for 5% savings, but what about the other buckets that would be interesting.
Gustavo Calvo Paz: I will comment something on the raw materials and then leave you -- Geert for the second question. On the raw materials, after a peak on inflation on the raw materials during the first half of last year '23. Most of them, they started to go to reduce and to go down. And what we see towards the end of the fourth quarter of '24, they started to stabilize and stop that declining and forecast today is not all the way so positive because we can see that it could go up in some cases, down in some others. So it's, I would say overall stable, you asked the question, particularly on the fluff, and we see -- well, of course, that depends on what we compare. If we compare with the lower point of the fluff at the beginning of the fourth quarter of last year, it would be an increase. If we compare it to the average, it will be average, it is a decrease. But we are thinking that it's more stable for us. That is what we are seeing.
Geert Peeters: Then on the buildup of the 11% to 12% EBITDA margin Markus, we're not going to be more specific by components, but I can repeat the components itself without giving any figures. Of course, you referred already to the savings. We will continue adding attractive savings in line with last year, but we were already referring to that one. And it's all very operational driven. It's improving scrap, improving operational efficiency, improving buying power, it's all that type of elements. Then the second element is, of course, the expansion in the U.S. I think that Gustavo already explained it quite well. We're still at a suboptimal scale, and we have 2 big plants, one in Tijuana, one in [Indiscernible]. And there we -- if we -- with interesting projects we have in the pipeline can gain economies of scale that will contribute a lot to the margin. And then, of course, we continue repeating, we invest in selected categories, high added value categories. So also there, we have a mixed impact. And the combination of the 3 will make up our -- will build up that margin. At the same time, of course, like all companies, it's very important. We stay extremely competitive. So also in managing the prices that will go along in our strategy to remain competitive and to win tenders.
Markus Schmitt: Okay. Then one quick follow-up on this, please. So the pricing raw material net is then assumed rather to be neutral in '24 or slightly negative?
Geert Peeters: [Indiscernible]
Markus Schmitt: The net of pricing and raw materials. Is that assumed to be rather neutral in the current year or maybe a negative contributor to EBITDA?
Gustavo Calvo Paz: The net of the 2 pricing is...
Markus Schmitt: And raw materials.
Gustavo Calvo Paz: Yes, we managed to balance the 2 things. I have to say balancing the 2 things because you know that in our mix, we have healthcare business, which has a lot of contracts that are tied to raw materials, ups and downs. We have the retail business as a different situation between Europe and U.S. So without -- I know that I'm trying to -- I'm not trying to avoid your question at all, but the net of that, I would say that we are balancing.
Markus Schmitt: Yes. Okay. It’s difficult to know at this point in time, I think, but thank you very much for your explanations.
Operator: The next question comes from the line of Fernand de Boer from Degroof Petercam.
Fernand de Boer : Fernand de Boer from Degroof Petercam. First, Geert welcome back. It's good to see you again.
Geert Peeters: [Indiscernible]
Fernand de Boer : Yes. Then I have a few questions. First of all, if I look at the sales growth guidance of low single-digit like-for-like sales growth, and I take the comments of Gustavo on North America to see 30% to 40% sales growth, then that implies a negative growth for me in Europe, is that a correct assumption?
Gustavo Calvo Paz: That's your first question, do you want to go ahead?
Fernand de Boer : Yes.
Gustavo Calvo Paz: Okay.
Fernand de Boer : Maybe the second question. Sorry, go ahead, please.
Gustavo Calvo Paz: No. Go ahead for the second, yes.
Fernand de Boer : And then the second question is on the cost side. If you see the EBITDA bridge, the other operating cost, minus €13 million, the SG&A, minus €7 million, so a total of minus €20 million. I think that compares to minus €8 million in the Q3 bridge. So where does this step-up in costs come from? Or how do we have to look at that forward because actually, the cost increases are now bigger than the gross savings you had in the fourth quarter?
Gustavo Calvo Paz: Okay. I'm going to take the question on the low single-digit like-for-like. And the Europe, yes, when you think on Europe in terms of total sales, there is a price -- negative price impact there. There is a positive volume mix in -- a mix -- a positive mix due to selected categories volume growth. The total volume in Europe, as I mentioned several times, we are selecting, right, where to grow, where we don't want to grow and perhaps where we are smoothly exiting. And the expected European growth is going to be in the low-single -- total in the low single-digit, not declining. But the growth in Europe that it will be mix and volume in selected categories. So that would be for Europe, low single-digit growth. Impacting the low single-digits, you have a range, unfortunately, that we are not giving you the range. But that yes, our base today in U.S. is small. So 30% to 40% increase in U.S., the impact is very significant for the U.S., but the versatile group is different. That answering that question and then Geert?
Geert Peeters: The second question, Fernand. I'm not 100% sure I fully understood it, but I will try to answer and tell me if I miss on a point. But on phasing of savings and cost, first of all, as to the phasing of the savings there, we can say there they are very -- we deliver every quarter a nice improvement that will continue. And there are really many actions behind its very detailed program covering all the different areas, all the different plants. So it's constantly delivering and also new initiatives are added. So that on one hand. If you look, of course, to the cost side, where you have your operating costs and your SG&A, there you see sometimes that might be more -- a bit more erratic. So we -- the phasing might from quarter-to-quarter be a little bit different, but if we look at an annual run rate, there we're very confident in the assumptions we take. For example, in SG&A, there are, of course, elements that like bonuses, they are more in one quarter. We have inflation impacts that are hitting other quarters. So that's the way you have to look at it. [Indiscernible]
Fernand de Boer : Yes. But I still see SG&A, indeed was up minus €7 million in Q4 and for the full year, it was minus €10 million. So I think [Indiscernible] little bit if you are working on a kind of cost saving programs?
Geert Peeters: Yes. But it’s not something I can tell you, you will have very balanced figures again. We can always follow-up with…
Operator: The next question comes from the line of Rebecca Clements from Fidelity International.
Rebecca Clements : A clarification on the factoring question from earlier. What was your reason for reducing factoring in 2023? It seems like it was a conscious choice.
Geert Peeters: Yes. That's right, yes. So that explains, improving the DSOs that are retailers, and we look at the financing mix and the cost, so it was indeed to delivery choice. We have sufficient lines, so perhaps that's another thing I want to stress, so we could have done much more if we liked, it's not so -- because we don't have the lines, we have sufficient lines to increase.
Rebecca Clements : And the reason you chose not to is because you figured you could actually get -- you would rather not pay the factoring fee and the full amount.
Geert Peeters: Yes, that's right.
Rebecca Clements : Okay. That helps. And then just 2 housekeeping for me. Do you have any of your balance sheet cash? Is any of that trapped overseas or less accessible?
Geert Peeters: Yes. It's not trapped because otherwise, there would be IFRS rules forcing us to do a different accounting. So our cash is available only if we take the emerging countries, we keep -- we love to keep the cash in those countries because often to get it out, there might be some leakage on taxes, et cetera. So it's something we constantly look at, whether they're cheap ways to get it out. But currently, the cash is very spread and available in our businesses.
Rebecca Clements : Okay. And then last question. I appreciate that your bond maturity is not until July of '26, but do you have any thoughts on your bond refinancing? Would you like to wait for the agencies to maybe give you some credit on personally a little surprised S&P still has the negative outlook? Any thoughts or guidance on what the timing might be around a bond refi?
Geert Peeters: We don't have a guidance on timing, of course. But for us, the first priority as a management was to show good results for '23 and to have them dripple into the markets with the rating agencies. So that will be an important focus for the coming months. And then we will consider the timing. Luckily, we still have time, and we will give information once it becomes more concrete, but there's nothing urgent at this moment in our opinion.
Rebecca Clements : From a sort of funding perspective, would you prefer to stay in the bond market or potentially use the term loan market?
Geert Peeters: We will review all the options, of course, to have the best financing costs of the company and the most secured financing. So we will consider everything.
Operator: There are no further questions, so I'll hand you back to your host to conclude today's conference.
Gustavo Calvo Paz: All right. Thank you very much for your participation on this call. Let me conclude. We accelerated our 3-year turnaround plan over the past year, and I'm very pleased with the excellent momentum we achieved and the encouraging results delivered in 2023. The solid level of activity, continued cost reduction and efficiency improvements all contributed to delivering positive earnings per share and free cash flow for the first time in several years. This marks a major milestone for the group, and it's a huge credit to the entire Ontex team to deliver on our commitments. The solid improvement in our financial performance and cash flow generation allow us to ramp up our investments for future growth, innovation and further efficiencies gains. Our momentum puts us well on track to restoring value creation for all our stakeholders whom I would like to thank for their support as we continue our journey. Thank you.
Geert Peeters: Thank you, all.
Operator: Thank you for joining today's call. You may now disconnect your lines.